Operator: Good morning. Welcome to PowerFleet's Third Quarter 2023 Conference Call. Joining us for today's presentation is the company's CEO, Steve Towe, and CFO, David Wilson. Following their remarks, we will open up the call for questions. Before we begin the call, I would like to provide PowerFleet's safe harbor statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet's future financial performance. All statements other than present and historical facts, which include any statements regarding the company's plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company's expectations regarding opportunities for growth, demand for the company's product offering and other industry trends are considered forward-looking statements. Such statements include, but are not limited to, the company's financial expectations for 2023 and beyond. All such forward-looking statements imply the presence of risks, uncertainties and contingencies, many of which are beyond the company's control. The company's actual results, performance or achievements may differ materially from those projected or assumed in any forward-looking statements. Factors that could cause actual results to differ materially could include, amongst others, SEC filings, overall economic and business conditions, demand for the company's products and services, competitive factors, emergence of new technologies and the company's cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the Investor Relations section of the company's website at www.powerfleet.com. Now, I would like to turn the call over to PowerFleet's CEO, Mr. Steve Towe. Sir, please proceed.
Steve Towe: Good morning, everyone, and thank you for being here today. In today's call, I will share an update on our Q3 performance, as well as spending some time reviewing progress on the strategic pillars of the business. Turning first to our Q3 performance. We're delighted to report a strong set of Q3 financial results. Our commitment to evolve into a high-quality SaaS business required us to take brave decisions to manage existing revenues in ways where our success will become clear in quarters rather than months. In essence, we've been executing a private equity style transformative playbook in the public market. Central to this strategy is building a pipeline of high-margin product sales that pull through sticky, high-margin SaaS revenue, while shedding non-core and non-profitable product business. We have been clear that executing this transition would result in revenues coming down through early to mid-2023, before reaching an inflection point where higher product revenue would begin to flow through the P&L in the second half of 2020. I'm pleased to report this inflection point is now evident in our numbers. Our Q3 total revenue performance was our best result in four quarters. Total revenue increased by 7% sequentially. Q3 product revenue increased quarter-over-quarter by an impressive 19% at a much improved gross margin. At the same time, our service revenue increased by 11% on a constant currency basis year-over-year. Looking at adjusted EBITDA, we made a commitment that we would take the necessary steps to absorb the cost and cash burn of our investment in engineering talent following our Q1 Movingdots acquisition. Clear success here is evident in our Q3 numbers, with sequential adjusted EBITDA increasing threefold to $2 million. David will dive into more details on our financial performance shortly. I view the quarterly earnings cycle as an opportunity to provide an overview of strategic and operational changes in the business and there's a regular opportunity for our stakeholders to evaluate whether we're achieving the objectives we set out for the revised business strategy, following my appointment in January 2022. The overriding reason I took the hell of PowerFleet was a conviction that it provided a starting foundation to build a world-class business and ultimately create a highly valued and appreciated SaaS assets in the industry. To realize this vision, it was essential to execute a substantial transformation plan at pace. To succeed, we took aggressive and decisive actions designed to enable PowerFleet to have a credible shot at being at the forefront of the data-led SaaS revolution of the industry in the years to come. This remains a bold and ambitious mission for PowerFleet, our investors and now our partners from mixed telematics Trust is a key currency in successfully navigating this kind of transition and is built by following through on your commitments. A common mantra for those of you who have joined me on this journey so far is the commitment of the PowerFleet team to say what we do and do what we say. To demonstrate that these words have substance, I'll now share proof points from the revolutionary change program focusing on the three major areas we knew we would need to significantly transform in the first two years of my tenure. First, scale; second, technology; and third, the shape and health of our P&L and balance sheet. Looking at scale, we're not here to be and also run in the industry. We're here to secure a place at the very top table. I'm convinced there will be four to five consolidated global players that will dominate the space over time and we very much intend to be one of them. To get there, we need the depth of resources to invest at the level the market demands and have the breadth of data-led solution capability to feed, refine and evolve best-in-class AI engines earning the right to be a mission-critical provider in an integrated fashion for an energized customer base. With the announcement of the mix combination, both organizations have taken a massive step towards securing the necessary scale. Anticipated achievements of the transaction to support the combined strategy include annual revenues increasing from $135 million to $280 million. Adjusted EBITDA increasing from $7 million to $39 million. The number of subscribers on our platforms increasing from $700,000 to $1.8 million, the engineering team growing from 90 to over 230 colleagues and enterprise customers growing from 3,500 to more than 7,500. Now on to technology, where the Unity AI and data platform strategy has been validated by customers and industry analysts alike. It was also pivotal to mix this decision to combine forces with PowerFleet. Josh and his team have produced a successful and incredibly well-run business that has been steeped in the industry for over 25 years. The fact that they believe wholeheartedly that the Unity vision is the right one to take a leading position in our fast-evolving industry is a compelling validation for the unique Unity data highway and integrated ecosystem. Another proud achievement this year remains the Q1 acquisition of Movingdots, which secured some unique IP in the insurance space alongside a sizable team of data scientists and AI experts with deep domain knowledge. We believe that the combined engineering teams and data sets of PowerFleet and MiX will provide the strategic pillars for us to be a technological and market leader in the rapidly evolving Artificial Intelligence of Things or AIoT space, driven through the Unity platform. Now on to the evolution of our P&L and balance sheet. I shared at the start of this call, our progress against the strategy to evolve the P&L to successfully build a pipeline of strategic product sales, the pull through sticky, high-margin SaaS revenue, while shedding non-core and non-profitable product business and that we've reached the inflection point in our strong Q3 performance. I'd like to add some more color on the strategic evolution of our P&L and balance sheet. Looking at the geographical distribution of revenue, we've been very clear that we would directly address the mind share and hidden cost drag of our subscale businesses in Brazil, Argentina and South Africa. At a single stroke, our announced combination with MiX enables us to retain and scale these books of business, particularly in South Africa, which will combine with MiX's powerful local operation and Brazil, we're reaching critical mass on a combined basis now comes true. With regards to the balance sheet, the MiX combination provides an elegant and shareholder-friendly pathway to meet our commitments to adjust the challenging app free preferred instrument. Based on any measure, these are major accomplishments across all three areas, and this is a testament to the ability of the team to deliver compelling results against ambitious targets. As I approach my two-year anniversary, I'm proud to say that the prospects and the strategic potential of the business are transformed. The right chess pieces are now in place for the next phase of our journey, a phase that is centered on realizing significant enterprise value for our shareholders. Ahead of sharing insights and thoughts on this, I'll ask David to walk through our third quarter results in detail. David?
David Wilson: Thanks, Steve, and good morning, everyone. Continuing the spirit of transparency and accountability, I'll firstly provide an update on the key strategic priorities that I called out on our prior call before providing additional insight on the numbers. Strategic priority number one is to accelerate our business transformation, while living within the limits of our current balance sheet. Our October 10 MiX business combination announcement is a game changer, while the realized results from our current activities are moving up with adjusted EBITDA tripling sequentially demonstrate a team that can execute decisively and at pace. While these initiatives are major wins, they naturally created some headwind in our short-term financial results with $1.4 million in onetime transaction and rationalization expenses incurred in the quarter. Priority number two is to improve the underlying operating leverage of our business by implementing a common and scalable software platform across all geographies. The central talents of this initiative is the rollout of a global ERP system, and as I'm sure you can appreciate, our business combination with MiX significantly increases the scale of this endeavor and presented us with alternative pathways. Based on initial review, we concluded that the most expeditious option to get the entire global business on a single ERP instance is to standardize our MiX Dynamics 365 solution that is actively being rolled out. A global ERP is of critical importance, both for realizing millions of dollars in spend efficiencies and building out a rich set of SaaS metrics that provide proof points on the durability of revenue and operating leverage inherent in our business model. ERP is a major work stream for integration planning and execution and we will continue to provide regular insights and updates on future calls. Now on to our financial performance for the quarter. Starting with revenue, where the underlying quality is radically improved versus the prior year, while total revenue for the quarter ended September 30, 2023 of $34.2 million was in line with last year, approximately $2 million of loan-value product revenue has been actively shed from the business and replaced with high-margin service revenue up 4% on an absolute basis and over 11% on a constant currency basis. Additionally, our product sales are increasingly high margin, differentiated and centered on pulling through sticky SaaS revenue. Success here is evident in sequential performance where product margins increased from 22% to over 30%. Total gross profit margin for the quarter of 50% was in line with the prior year. Product gross margin of 33% benefited from $400,000 in out-of-period import duty recovery. On an adjusted basis, product margin was 30%. Meanwhile service gross margin of 61% was headed by $400,000 in out-of-period infrastructure expense and $300,000 in unity depreciation expense. Adjusting for these items, service gross margin was in line with the 64% posted in the prior year. Total operating expenses, which increased by $2 million to $20.4 million compared to the same ago period with current year impacted by onetime deal and rationalization costs of $1.4 million. Net loss attributable to common shareholders totaled $5 million or $0.14 per basic and diluted share and adjusted EBITDA was $2 million, three times higher than the prior quarter following cut-to-cut activities for Movingdots. Our balance sheet remained strong at quarter end with $19.6 million in cash and cash equivalents and working capital position of $34.5 million. Looking to the future, we recognize that the macro environment poses certain challenges in specific markets and regions. Specifically, the ongoing conflict in Israel has understandably got about temporary fluctuations in product demand and foreign currency challenges. It is worthy to note that over 80% of our book of business in Israel is recurring subscription revenue that is centered on transportation, safety and security and essential versus discretionary need. Most importantly, I'm relieved to report that despite the horrific ongoing events and related strain to all those impacted, our Israeli team members are currently safe and our facilities remain unaffected. While we continue to closely monitor the situation, this assurance of safety is paramount. We have also enacted our business continuity plan to ensure we have redundant capabilities or the services our Israeli team provides to our global business, particularly around supply chain and distribution. That concludes my remarks. Steve?
Steve Towe: Thanks, David. Our Q3 financial results are a testament to the exceptional execution by our global team. These on-plan results are particularly impressive when you take into consideration they were achieved in the midst of an immense effort to sign our transformative business combination with mix. Moving back to the overall view of the business. We continue to gain strong traction. This is especially true as we witnessed the resounding success of Unity, our safety-driven industrial solutions and our connected car offerings. In Q3, we are delighted to announce new logo wins in North America with the likes of Valvoline, Summit Construction and Development, OI Glass and CMC and major account expansion projects with the likes of Napack, Brink's, General Motors, Georgia Pacific and FEMSA. From a market development perspective, safety remains at the very heart of what we do. Here are some examples of what we achieved in Q3. PowerFleet expanded its existing relationship with Mitsubishi Logisnext America, MLA, the fourth largest forklift manufacturer in the world. We signed a white label agreement creating a competitive advantage for MLA and an additional revenue stream for PowerFleet. The U.S. Department of Transportation launched an initiative and subsequent campaign to reduce the rising number of serious injuries and deaths on America's highway roads and streets. After an extensive review process, PowerFleet in our Unity platform was selected as a partner to join the U.S. Department of Transportation's efforts to improve road safety. ABI Research, a leading analyst in the IoT industry released a competitive report that compared vendors of video safety solutions to provide a third-party assessment in ranking. After a full assessment process, which includes innovation criteria like solution options, user experience and use cases PowerFleet was named as a top innovator and ranked within the top five providers in the world. To close off our prepared remarks, I'll now set expectations on what the combined PowerFleet and MiX team is committed to deliver over the coming quarters. In a similar fashion to my initial commitments I made for the business at the beginning of 2022. Delivery will be across the following three vectors: technology, financial performance and realizing shareholder value. Starting with technology. We will continue to strengthen and broaden the capabilities of Unity and demonstrate this is a true software platform capable of expanding wallet share with our existing customers as well as acting as a powerful magnet for new ones. Unity is on the path to become a platform and ecosystem that in the future will go well beyond traditional telematics. Scaling our device agnostic and data ingestion capabilities, harnessing IoT led insights for customers and providing flexibility on how they consume those insights, whether through our advanced applications or other integration points. Physicians Unity is a true data highway in the ecosystem hub for broader IoT use cases. Looking at financial performance, we expect to deliver accelerated revenue growth. We expect to realize readily available revenue synergies from the mix combination sourced from compelling cross-sell and upsell opportunities through the combined complementary product portfolios. PowerFleet Solutions will also benefit from the global reach of MiX is 120 indirect channel partners. Expect Unity to be an engine driving a steady quarterly climb of net dollar retention to best-in-class levels through the following areas. The device agnostic capabilities of Unity expands the set of revenue-generating subscribers well beyond those we directly supply. Our value-added modules and integration points provide significant headroom on the amount of revenue we can generate per subscriber. And finally, our solutions become increasingly sticky as the value of the data that we provide reaches well beyond the underlying asset owner in organizations. Expect rapidly expanding adjusted EBITDA. The opportunities coming out of the combination are both substantial and readily accessible, and we expect adjusted EBITDA to more than double from a trailing 12-month starting point. And finally, expect best-in-class Rule of 40 financial performance within two years of close. Now, on to shareholder value creation, where we expect to take major strides in recalibrating the way PowerFleet is viewed and valued by the market. Areas of focus include the following: The MiX combination provides size and scale that will enable us to attract a much broader set of investors. The steady release of Unity IoT-powered offerings will enable us to break away from the market's traditional view of telematics providers. The rollout of our global ERP for the combined company will allow us to report an increasingly rich set of SaaS metrics, which will provide clarity and transparency on the quality and durability of our recurring revenue book of business with a specific focus on net dollar retention. And finally, securing an enterprise value that is underpinned by a rule of 40 revenue multiple. We clearly now have a compelling short to midterm value proposition to present to the markets. And as a result, we will be intensifying our investor outreach. This starts next week, where the joint PowerFleet and MiX team will attend the Roth Investor Conference in Midtown Manhattan on November 15. We will host our joint Investor Day with MiX at the InterContinental New York Barclay Hotel in Midtown Manhattan at 2:00 p.m. Eastern Time on November 16 David will be joining the MiX team at the Raymond James TMT Conference in New York on December 5. And finally, we plan to execute an Investor Roadshow early in the new year. We look forward to seeing as many of you as possible at these events. I'll now turn it back over to the operator for Q&A. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And our first question this morning is coming from Scott Searle at ROTH MKM. Scott, your line is live. Please go ahead.
Q – Scott Searle: Hi. Good morning. Thanks for taking my question. Nice job on the quarter, guys. I know it's a difficult macro backdrop. David, maybe just quickly for clarification, my audio was a little choppy. I wanted to clarify if there was $1.4 million, I thought transformation costs in the quarter, wanted to confirm that. It sounds like the ERP systems that you're going to use going forward are going to be MiX want to just clarify that as well. And then immediately in the December quarter, how are you expecting things to trend sequentially? I know there are some macro headwinds out there particularly in markets like Israel, but just wondering if you could quickly comment on how you see things progressing in the intermediate term or near term before we start to see the combination impact from MiX.
David Wilson: Great. Thanks, Scott. So in terms of the choppy audio, the $1.4 million that referred to onetime costs incurred in the quarter both in terms of the transaction cost for the MiX deal in addition to certain rationalization costs attached to the ongoing cost reduction to cover moving docs. So that was the $1.4 million that was referred to in the prepared remarks. Yes. And in terms of ERP, we've obviously evaluated both the NetSuite pack that we were on as well as the Dynamics 365 pack that the MiX team were on. And as we've looked at it, the most expeditious and the quickest way for us to get on a common platform is actually the move with the Dynamics platform. So again, that will be a very important piece of work that we'll be planning for between now and close and aggressively executing I suppose. So we're there in terms of that piece. And then in terms of looking forward to future financial performance, the key issue is obviously Israel. It is obviously a very important piece of our business. As I referred to in the prepared remarks, the vast majority of that revenue is recurring in nature. It is also an essential need as opposed to a discretionary need. So last quarter, Israeli business was just north of sort of $10 million, so around about $2 million in product, $8 million recurring services. We expect the recurring services piece to hold up very well. So other than FX issues, and obviously, the FX rate has actually improved over the last week or so, but it was clearly weaker earlier in the quarter. There'll be some exposure there. And then from a product standpoint, a fair amount of that product revenue is actually sold to the consumer through dealerships. And you can appreciate that's a piece of the market that will be definitely sort of softened in terms of demand, just given what's going on in the country. So that's the sort of key headwind. But in terms of the fundamentals of the business, we're performing well, obviously, very clear in our Q3 numbers. We're building up a very nice head of steam. So the fundamentals are very, very strong, and we think we can absorb these ready headwinds.
Scott Searle: Very good. And Steve, if I could, from a high level, it seems like you continue to add more logos. You get add-ons with existing customers. And you had 11%, I think, growth in the services side year-over-year in constant currency. Could you comment a little bit in terms of what that total TCV opportunity pipeline looks like? I think over the last couple of quarters, you had some relatively big growth on a sequential basis. How is that trending? Also kind of the initial cut when you start to look at the combination with mix and upsell opportunities, what does that look like? And also just competitively, now you're a different company, when you add the mix scale in terms of reach and product breadth. How are you doing in terms of getting to the table now with Samsara and Geotab, is that changing the dialogue out in the marketplace in terms of how you guys are perceived. Thanks.
Steve Towe: So firstly, Scott, I don't think we've ever given a full TCV pipeline number. We've talked about the growth sequentially. It's continued so around about net around $35 million to $40 million of new pipeline has been added, which is great. I think in terms of customer sentiment towards the business, it's extremely strong. So both this PowerFleet as long you've seen every quarter, we come out with the new logos and the account expansions. You see the broader market appreciation that we're starting to receive now. And that kind of linked in as well to the positioning with mix in terms of being a business at scale. So we've already seen more inbound interest. I think this takes us to almost the very top table. And I think we are now seeing ourselves in a position where we will fight more business against the biggest boys in the industry. And we're confident about chances in those interactions as well.
Scott Searle: Great. Thanks so much. I'll get back in the queue and look forward to seeing you guys next week at our conference and the Analyst Day. All the best.
Steve Towe: Thank you, Scott.
Operator: Thank you. Your next question is coming from Mike Walkley from Canaccord Genuity. Mike, your line is live. Please go ahead.
Mike Walkley: Thank you. Congratulations on the strong results. And best wishes to your Israel employee base. I guess to start off, very strong quarter in gross margin, which has been part of your strategy. I guess, David, on the hardware side, is 30% kind of a good number to think about going forward? Or is there anything we should think about mix for your standalone business in terms of gross margin trends?
David Wilson: Yes. So in terms of the 30%, that is definitely a target that we've spoken about in the past. In terms of the quarter itself, clearly, very strong standard in North America, which is sort of at the forefront in terms of gaining traction in terms of the Unity stories. So that's an important piece of it. So I would say 30% is reflective of expectations on a go-forward basis. There's always some -- and that when you use it mix, obviously, mix is a challenging way to use. But within our business there's often sort of mix issues in terms of things that are highly differentiated, for example, like our industrial solution. We have more pricing power there than maybe the logistics side of things. So there's always some sort of fluctuation, but I think on a blended basis, 30% and then growing from there is a good expectation to have
Steve Towe: Yes. And just coming over the top of that. As we signaled in terms of taking out the lower product margin business and unprofitable product lines that was the reason that we were down where we were. So this is a great proof point in terms of the newer pipeline that we've built, the execution of that new pipeline and our commitment to do higher-margin profitable business.
Mike Walkley: Great. That's great explanation on that execution as you're coming out the other side. I guess just a follow-up question, building on some of Scott's question. Just on the pipeline of business sounds like, Israel as expected, products could be a little soft. North America has been a strong business year-to-date. How are you seeing kind of the pipeline and trends for your different regions?
Steve Towe: Yes. So I mean if you look at the North American year-to-date and quarterly results, that was our number one focus. It's our number one strategic arena that we think we can get to a very high level in terms of market leadership. And I think that is playing out well. And the pipeline strength there is growing as is our reputation. It took a while for us to be known in the market. And I think now to kind of Scott's earlier question as well, we're starting to see far more inbound interest into the business as we go. So that's very strong. Europe will be a big growth area for us in 2024. So as you're aware, we've invested in Europe. We've got a nice pipeline building there, very confident in terms of our abilities to execute considering, particularly the background and experience that I and others that I bought into the business have of that market. I think our kind of Latin American business was naturally in a place of uncertainty. And since we've now been able to settle the future of that business and we're going to have businesses of scale, with the mix combination, then we're starting to see pipeline grow again. And from an Israel perspective, despite the fact that we naturally in the short-term have some headwinds, the development of pipeline, particularly in the B2B space is still remains strong for the medium-term. So I think if you look overall, we're getting traction there. We're getting the proof point in terms of the new strategy. Unities really coming out of top in terms of being able to get incremental opportunities for revenue. And then if you take the mix combination, then in terms of the solutions that mix have that we don't have, particularly the strong in-cab logistics stuff that we're not so hot on. And then vice versa, in terms of the industrial solutions that will be available to all mixed territories, we can definitely see the path to the incremental growth rates that we're alluding to.
Mike Walkley: Great and congrats on all the accomplished to-date, and I'll pass the line.
Steve Towe: Thanks Mike.
Operator: Thank you. The next question is coming from Jaeson Schmidt from Lake Street. Jaeson, your line is live. Please go ahead.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Just given the macro backdrop, curious what you're seeing from a pricing standpoint. If you've seen it get a lot more competitive? I know the telematics space is always fairly competitive. But have you seen any significant changes just given the current macro?
Steve Towe: I think we're seeing some competitor desperation is how I would describe it. So business is trying to be on at very low rates. We're not going there. I mean you've seen from our strategy over the last year for us. We would rather take more selective over revenue in terms of maintaining and growing profitability. And I think we're selling far more value. So particularly in the North American market, we have hired a very good set of enterprise software sales folks, who concentrate very much on the value proposition across the C-suite. And that's allowing us to hold pricing. So, no doubt, the pressure is out there. But again, we very -- have very strong conviction in terms of the growth of EBITDA and the growth of revenue alongside it based on the quality of pipeline that we're delivering, and we think there's more than enough out there for us to be comfortable.
Jaeson Schmidt: Okay. That's really helpful. And then just as a follow-up, are you seeing any meaningful headwinds from the supply chain?
Steve Towe: In terms of component supply for our sales?
Jaeson Schmidt: Correct.
Steve Towe: No. We've done an awful lot of work in terms of dual and triple sourcing capabilities. Again, a big share to our Israeli supply chain distribution team, in terms of how they go about sourcing and making sure that we've got enough inventory to fulfill. So very confident again that as long as our sales team can deliver, then we'll be able to supply effectively in the coming quarters.
Jaeson Schmidt: All right. Perfect. Thanks a lot guys.
Operator: Thank you. Your next question is coming from Gary Prestopino from Barrington Research. Gary, your line is live. Please go ahead.
Gary Prestopino: Thanks. Good morning Steve and David. A couple of questions. First of all, David, you called out a couple of one-time expenses related to the gross profit on services. And I couldn't write them down. Could you just go through that again, please?
David Wilson: Yes, absolutely. So, there's two that offset each other. One is a $400,000 pickup in terms of just import duty from prior period, sort of a rebate there that benefited the product margin side of things. We've also been very active in terms of just working the infrastructure side of things as we transform things. There was a catch-up billing that came through to the tune of $400,000 that sort of offset the benefit from the duty standpoint. So, again, from a total gross margin standpoint, this thing is neutral, but that was the pickup that sort of hindered service margins in the quarter.
Gary Prestopino: While you're saying one thing is for product, one thing for service. I'm trying to understand what you -- you said that there was there was something that impacted the services margin because it was down year-over-year. So, that's what I'm trying to get at. Was that a one-time issue? Or is that something that's going to be ongoing?
David Wilson: There's two issues. So, one is a one-time issue, which is this $400,000 out-of-period infrastructure cost that impacted margins. The other thing that has happened and is more prominent this quarter is an increase -- a significant step up in terms of the amount of depreciation we're taking on the Unity platform. So that was about a $300,000 hit. That will be something that will obviously continue on a go-forward basis. The only thing I'd add there is the amount of operating leverage on Unity is massive just because that's essentially a fixed cost versus the revenue growth that we'll be enjoying on the back of that investment. So there is a pickup in terms of non-cash costs that have impacted gross margin this quarter and it will be an impact next quarter to.
Gary Prestopino: Okay. And then is it safe to assume that most of the impact on the currency dealt with Isrealian shekel?
David Wilson: Yes.
Gary Prestopino: Okay. And then, David, could you -- I'm sorry, Steve, could you maybe talk about the Unity platform? How much is that helping to drive new logos as well as where are you with trying to get the -- your base business, your base customer base to accept or adopt the Unity platform. I assume it's very early stages at this point.
Steve Towe: Yes. So it's significantly helping us in the race to win new business. Unity is a consolidation platform. So a lot of our customers have multiple providers because this is a fragmented market. So to be able to see their data and harmonize it in one single place is so protractive to them. They also have too much data, too many operating systems and they are looking for someone to help them simplify that to integrate those data sources into the different ways that people want to consume it, which is fairly unique in this market. So that simplification that ease of use, that ability for us to really kind of take people on a digital transformation journey also is helping us to win new business. Plus then the value-added modules with better, more predictive AI insights on top and making the business benefit case a lot smarter for customers. So that's all in terms of the reasons why we are winning more new logos and why people are now seeing this as a differentiated solution, that's number one. And then number two, in terms of people adopting Unity. So the way that we put Unity together is everyone sees their existing functionality that they previously saw in the heritage platforms on Unity today. So in fact, the customers are on Unity. What they then have the ability to do is take on top of that the value-added services of more device and data ingestion, more integration and the value-added modules that are kind of premium modules on top of the feature functions that they have today. So it's a very easy path. We are fairly early still in kind of the upsell process of that. So we have put together an inside sales team that is now just going out and kind of really kind of having those good conversations. And this is all kind of ARPU uplift, that we will see continue in the future. So that's all part of this strategy. And as I said, the confidence and proof points are very strong to-date.
Gary Prestopino: Okay. Thank you. And then, just briefly comment on your markets, industrial logistics. I believe the third one is transportation. What -- how did they each perform in the quarter? And what would be the outlook going into Q4 for those market segments?
Steve Towe: Yeah. So our safety solutions across the board, whether that safety in the warehouse or safety on the road, -- so we look at it not just by vertical, but -- and kind of are we in the warehouse or are we truck or are we like commercial or are we a car? We look at it as kind of the solutions we're delivering. So safety solutions across the piece, we're seeing extremely strong traction pool, a lot in the warehouse in terms of The Pedestrian Proximity alert solutions that we have, and a strong kind of, I think, Sway towards video solutions as we talked about the ABI Research piece. The logistics kind of, I would say, more commoditized stuff is still the clunky area for us. And I think people are still weighing up their overall needs, following the post-pandemic and rationalizing their assets estate. So we don't see a huge growth at that end. But that is more kind of, as I say the lower ARPU revenue that we enjoy today. But it's not kind of the key growth area for us moving forward. So moving into Q4, moving into Q1, we're seeing pipelines around safety, insurance, sustainability and compliance as really strong. And that's where we focused our efforts, in terms of Solution Design, in terms of Marketing and in terms of being the best of the best, because we truly believe that if we win the rate in that space, then where customers want to consolidate have fewer suppliers, then we will win the Traditional Telematics Business alongside it. And so far, the early signs of that strategy are coming through nice.
Gary Prestopino: Thank you.
Operator: Thank you. And there are no further questions in queue at this time. And the Q&A session has now concluded. I would now like to turn the floor back to Steve Towe, for closing remarks. Sorry, Steve, just turning the floor back to Steve for closing remarks at this time.
Steve Towe: Thank you. Sorry, I had a slight audio problem there. So everyone, thank you for the insightful questions, and thanks again to everyone joining us this morning. As I mentioned, we'll be hosting an Investor Day, alongside The MiX Telematics, Thursday, November 16, at 2:00 PM Eastern Time in New York City. If you're interested in attending this event, please get in touch with our Investor Relations representative, Matt Glover from Gateway Group, who can provide you with all the necessary information. We look forward to seeing many of you at week, until then, take care and talk to you soon.
Operator: Thank you for joining us today for our presentation. You may now disconnect.